Operator: Ladies and gentlemen thank you for standing by. Welcome to the Liberty Media Corporation 2015 Third Quarter Earnings Call. During the presentation, all participants will be in a listen-only mode. Afterwards we will conduct the question-and-answer session. [Operator Instructions]. As a reminder this conference is being recorded Wednesday, November 4, 2015. I would now like to turn the conference over to Courtnee Ulrich, Vice President of Investor Relations. Please go ahead.
Courtnee Ulrich: Thank you. Before we begin we’d like to remind everyone that this call include certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Including statements about business strategies and market potential, new services and product launches, the future financial performance of SiriusXM, stock repurchases and other matters that are not historical facts. These forward-looking statements involve many risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements. Including without limitation possible changes in market acceptance of new products or services, the ability of our businesses to attract and retain customers, competitive issues and regulatory issues and market conditions conducive to buyback. These forward-looking statements speak only as of the date of this call and Liberty Media expressly disclaims any obligation or undertaking to disseminate any updates or revisions to any forward-looking statements contained herein to reflect any change in Liberty Media’s expectations with regard thereto or any change in events, conditions or circumstances on which any such statement is based. On today’s call we will discuss certain non-GAAP financial measures including adjusted OIBDA. The required definitions and reconciliations, preliminary note and Schedules 1 through 3 can be found at the end of the earnings press release issued today’s call which is available on our website. This call also may include certain forward-looking statements within the meaning of the Private Securities litigation Reform Act of 1995 regarding Liberty Broadband. These forward-looking statements involve many risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements. Including the ability to complete the charter transactions and Liberty Broadband’s related investment. These forward-looking statements speak only as of the date of this call and Liberty Broadband expressly disclaims any obligation or undertaking to disseminate any updates or revisions to any forward-looking statement contained herein to reflect any change in Liberty Broadband expectations with regard thereto or any change in events, conditions or circumstances on which any such statement is based. Now, I’d like to introduce Greg Maffei, our President and CEO.
Greg Maffei: Thank you, Courtnee and good afternoon to all of you out there. Today speaking on the call we will also have Liberty’s CFO Chris Shean. During Q&A we’ll be available to answer questions related to Liberty Broadband as well. So starting with Liberty Media, during the quarter we completed the hedging period on our previously disclosed Live Nation forward purchase. We will own when this hedge closes at the end of November, 34.4% of Live Nation, we’re acquiring 15.9 million shares at an average price of $24.91 and we’re very happy with our increased involvement and investment. Live Nation announced stellar Q3 results last week, revenue grew 10% in AOI; adjusted operating income was up 8% both in constant currency and these were driven by a 10% increase in attendance during the quarter. Sponsorship and advertising AOI grew an impressive 16% in constant currency and in ticketing Live Nation grew its primary and secondary GTV by 18%. Digital content is also performing well at Live Nation with Yahoo! Live, Festival Streaming and Voice Original programming having now delivered over 100 million streams to-date. We continue to focus on mobile with over 60% of web traffic through mobile at Live Nation and we’re on track to deliver record performance for 2015. Looking back at Liberty Media itself we continued buybacks and we repurchase a total of $38 million of LMCK shares from 8/1 through 10/31 taking advantage in part of the increased spread between LMCA and LMCK. We also continue to focus on the overall discount between an LMC between it and its constituent components the NAV. Recent analyst estimates have had this discount somewhere in the mid high teens and we continue to look at alternatives to take advantages including stock repurchases as you saw in this quarter. So onto a few operational highlights in our subsidiaries, SiriusXM again posted very solid results and increased its guidance for net subscriber growth, revenue and adjusted EBITDA. During the quarter subscriber count increased to nearly 29 million, revenue was up 11% to $1.7 billion and adjusted EBITDA grew 17% to a record $447 million. As of 10/20 our ownership in SiriusXM stood at about 60.7%. Looking at the Braves, our stadium and mixed use development is progressing well. In September we closed on a stadium construction loan of $345 million to fund the remaining Braves portion of the stadium parking and plaza and we officially named the new mixed use development adjacent to SunTrust Park, the Battery Atlanta. Additionally we named John Coplowa [ph] as General Manager during the quarter. Over at Liberty Broadband Charter continue to show excellent results with very good growth in customer relationships, PSUs and revenue was up 7.2% year-over-year with adjusted EBITDA 8.5% year-over-year and including the transaction cost we incurred during the quarter end transition cost related to our upcoming mergers and acquisitions we would have been up 9.7% year-over-year in adjusted EBITDA. We remain very excited about the Charter, Time Warner Cable and Bright House combination and the ability to successfully apply the Charter strategies across the larger footprint. We look forward to seeing many of you on November 12th in New York for our Annual Investor Meeting and we’ll have lots of fun things to talk about. And with that I will turn it back over to Chris to talk about our financial results.
Chris Shean: Thanks, Greg. Just a reminder that while Sirius consolidated in Liberty Media’s financial statements we suggest and we think it would be better to go directly to their website and publicly file documents for your analysis on that asset. At quarter-end Liberty had cash and liquid investments of $607 million and principle amount of debt of $6.9 billion, which includes $5.5 billion of debt at SiriusXM and a margin loan at Liberty. Included in the $607 million in cash and liquid investments balance at September 30, 2015 is $153 million of cash held SiriusXM. Liberty’s cash and liquid investments excluding cash held at SiriusXM was $454 million. Now with that I'll turn the call back to Greg.
Greg Maffei: Thank you, Chris. And to the listening audience we appreciate your continued interest in Liberty Media. And with that operator I would like to open the floor for questions.
Operator: [Operator Instructions] And your first question comes from the line of Jeff Wlodarczak.
Jeff Wlodarczak: Hello, Greg. Just wanted your latest thoughts on your high base of Siri shares? And then separately now that Sirius has had experience of pushing through a couple of price increases what’s your comfort level around Siri taking additional price increases? And then I’ve got a follow up. Thanks.
Greg Maffei: First, I think we remain constant in our belief in SiriusXM and for many quarters now we’ve not sold any shares we did as you recall increased our stake dramatically from the 40ish percent to well over 50% and SiriusXM has done the heavy lifting since then we did sold some shares just to get some of our base back. But I think we are very happy with our position have no current intent to dispose of any more high basis or otherwise in SiriusXM. I am not going to comment on future price increases other than to say both the churn and customer reaction on an ongoing basis and in light of prior increases indicates quite a lot of happiness with the product and quite a lot of price elasticity at least in my mind. But we’ll see where we go with that.
Jeff Wlodarczak: Fair enough. And then on Charter, how interesting is the idea of Charter offering sort of a WiFi first and MVNO wireless product to consumers outside of the home?
Greg Maffei: I’ll let them make their announcement. But I think our Liberty’s belief is probably somewhat consistent with theirs, 75% to 80% of all bits on mobile devices are already delivered through WiFi we have a unique plant in market to be able to offer customers incremental services that include WiFi whether that is bundled in something, which is a WiFi first or whether it’s a more broad MVNO or whether ultimately there is a richer offering on a quad play at the way there is in Europe we’ll see. I don’t think that is known and I think the market could evolve. But clearly the strength of our ability to have the network we have and offer WiFi is very valuable to customers.
Jeff Wlodarczak: Thanks, Greg.
Greg Maffei: Thank you.
Operator: Your next question comes from the line of Barton Crockett with FBR Capital Markets.
Barton Crockett: Okay, great. Thank you. To follow-up on your statement that you are interested in paying under your Sirius shares, now when you look at your kind of view of the value of that business, how much of it is really driven by the core subscription businesses that they have and how much of it is potentially driven by the long-term value that they might be able to unlock from spectrum as they move to kind of free up the Sirius spectrum and you look at kind of the dynamics of the spectrum values in last auction. Does that really factor on kind of your long-term thinking of the value there?
Greg Maffei: Well I think first and for most Sirius is a subscription company and its value will come from that subscription. The company has done excellent job of building on the initial leg first member was an aftermarket product now it became an OEM product and now adding this next leg, which they’ve done very well over the last three years of the secondary market. We are -- there is not probably as much growth left given what’s happened to SAR in the OEM market. But the potential to see the secondary market grow for as much as 10 to 15 years is very conceivable and very attractive. But on with that comes other sources of value too in this company including the fact that we're going to have many OEM installed non-subscribers number who will never probably want to become subscribers we don’t pretend or believe that every car is potential subscriber to a pay service just like not everyone willing to subscribe to Stars or HBO or Showtime. But we think there is quite a lot of room left to grow in both of those. But when you're done there is still a huge base of installed cards but I think there are opportunities to do things with. And last and not least we do have a lot of spectrum value and some of the actions we’re taking to unify our platform are going to create opportunities with that incremental spectrum. I don’t view that as the driver of value I view that as an incremental boost. And obviously there is another future as we’ve talked about which we haven’t really accounted here which is the connected car another subscription service. So I think if most of these are green shoots to a degree. I think they’ve got real potential, but we don’t know the size of them and I put the spectrum in that category as well.
Barton Crockett: Okay, that’s helpful. And then if I could switch gears here a little bit. To what extent do you think Liberty Media could be potentially valuable as a consolidation vehicle or acquisition vehicle for emerging music services? There is a lot of innovation in that area, you have stakes and companies that are in that area, but have earnings needs to deliver earnings Liberty Media’s some of the parts really doesn’t have to focus on earnings. So to what extent do you think you could get involved in taking stakes or taking acquisitions of substance in that area?
Greg Maffei: Well that’s a great question and you can see to some degree that’s already happened. We have and I believe we’ve disclosed the small stake venture capital stake in the company called Saavn, which is an Indian streaming company. We’ve look at virtually there isn’t a streaming company that we have not spoken with either Sirius or Liberty or both. And in some cases have imagined that given the high profitability of Sirius and as you rightly pointed out more of the NAV orientation of Liberty that perhaps some of that ought to sit, the equities ought to sit inside Liberty for a period while they bake. Because in a lot of cases the model as you have rightly pointed out for these emerging services are not robust yet and not known and don’t fit very well. So that’s not a crazy idea and you’ve already seen a bit of that with our Saavn investment and we as I said we’ve looked at bunch.
Barton Crockett: Okay. I mean since you through it out there, I mean do you have a sense of the desirability of businesses like spotify with your evaluation or Pandora with its valuation whether that you can look at those types of models and maybe not the specific equities and see case where value and you’re willing to spend and they’re willing to price it could meet are you in the ballpark or do you think there is a separation there?
Greg Maffei: I think the biggest issue have for us has been the uncertainty around some of the models because of the nature of the variable content cost being very high as a percent of revenue. Potential only for increases in those contents and some rulings or some approaches from the content owners whether they’d be the broadcast or the play services or the publishers. So all of those have given us uncertainty about what the real cost or what the real potential to earn your cost of content in this businesses are particularly when you throw on the cost of servicing, streaming, et cetera. So most of our hesitation has not been where does this belong, Liberty or Serious, but what is the nature of the business model and what is the sustainability.
Greg Maffei: Okay, that’s great. Thank you very much.
Operator: Your next question comes from the line of James Ratcliffe, Buckingham Research.
James Ratcliffe: Good afternoon, thanks for taking the question. If I math is right once you’ve completed the live transaction there is going to be pretty minimal cash balance sitting at LNCA and can you talk about other potential sources of liquidity, should you desire it there? I am I have seen you could extend the margin loans on Sirius for example, but is there other options there? Thanks.
Chris Shean: Yeah I first would note that we believe there is quite a lot of borrowing capacity. We have the long-term billion dollars exchangeable there. We have, which doesn’t mature for another eight year or some point however. And we have the -- a margin loan against our Sirius stake on which we had diminished several hundred million dollars drawn and it’s safe to say we have several many times that in capacity undrawn. And so I don’t worry about that. We’ve also shown an ability to raise incremental capital against some of our existing stakes or in our existing company. Yeah it’s always feast or fame and in the sense that for the first eight years I was at Liberty all we ever thought about and heard was what you can do with all that cash in your balance sheet and now we’re at the other end of the spectrum. But we’ve been blessed with somewhat of a decent track record and people have approached us about various ways to finance and we’ve always found ways to raise capital for the right opportunity.
James Ratcliffe: Thank you.
Operator: Your next question comes from the line of Tom Eagan with Telsey Advisory Group.
Thomas Eagan: Thank you very much. I have a broader question on cable if either Greg or John. There has been some talk about cable operators providing video service outside of their footprint. I guess as a video service on the internet versus when that based on facilities. I guess my question is what do you think about that the pros and cons to the operators? Thanks.
Greg Maffei: I think in general over builders have had a very tough time in marketplaces. To my knowledge it’s hard to point to a very successful over builder who has made return their cost of capital. So we have a great opportunity to invest on our own footprint, upgrade speeds, do more with go all digital in the footprint, do a lot with our footprint that is we hope to close soon. The combined Charter, Time Warner bright house footprint. And I think that frankly is a lot more attractive and opportunity and potentially adding on services like wireless than trying to decide we’re going to overbuild into other markets.
Thomas Eagan: Great, thank you.
Operator: Your next question comes from Vijay Jayant with Evercore ISI.
Vijay Jayant: Thanks, I have two. So Greg get a lot of questions on the spread of LMCA to Sirius and which stock should I buy and I’m just trying to understand is there any urgency at Liberty to close the spread obviously you talked about you have liquidity to do that if you seem you want to do so. Can you just talk about how important it is to close the spread or is it just going to be national and we sort of deal with it when tax consolidation probably happens. And second, given you’ve been one of the largest investors in cable in the U.S. and you have had all these come along recently and talk about synergies that are even higher than the synergies on the Time Warner Cable Charter deal for much smaller asset, can you just talk about is something there that they see or you’ve started studied and think there is a real opportunity for U.S. cable operators that we are all missing? Thank you.
Greg Maffei: On closing the spread look it’s I considered a personal install for investor putting at a discount because it suggest that they think we’re going to overpay for Siri or do something else that is irrational. I hope we’ve demonstrated track record of not doing that, but we’ll have to see. Historically we’ve taken advantage of those discounts to NAV to purchase stock or do other things to take advantage of the discount and then subsequently get fully valued at NAV and outperform the underlying equities. We’ll see if that proved to be the case again, but I would my money on it. On the LT synergies, I view their entry to the marketplace is largely good. If they do something that’s highly beneficial and highly attractive and highly effective in running cable plant at much lower cost than existing operators in the U.S. market are able to, I hope we’ll go to school on it and learn. We’ll either make our business far more profitable or maybe they’ll buy us all out because they can make them all -- they can run them much better, but either seems to bode fairly well for our equities.
Vijay Jayant: Great, thank you.
Operator: Your next question comes from the line of Ben Swinburne with Morgan Stanley.
Ben Swinburne: Thank you, good afternoon. First question, any update on the Wendy litigation timing wise I think we’re coming in on maybe the beginning of trial here in December just any update you guys have on timing of process would be great.
Greg Maffei: I’ll let Rich Baer our General Counsel comment on that.
Richard Baer: Yeah, the matter has been set for oral argument before the Court of Appeal so it’s not a trial it’s just in a pallet argument the second circular will consider that those argument in March of next year and then they typically rule within six to eight months after that.
Ben Swinburne: Okay, great. And do we know what interest you’ll be earning on the cash or that still on the settlement or the fines I guess the best way to put it or is that still also being debated?
Greg Maffei: Well, there are two part to that, the first part is what interest we earn from the time the fraud occurred to the ruling of the judge and that is being in dispute. What we earn from the time the ruling came down to today is not a dispute and that’s low treasury rate. It’s the dispute is whether we earn that treasury rate from roughly 2002 till 2014 or whether we earn a 9% simple interest rate under New York Contract law which is our aim.
Ben Swinburne: Got it. And then just lastly Chris, switching back to the music business admittedly a bit of a random one, but since you are a big investor in Live Nation and you look at a lot of music businesses, what do you make of Pandora buying Ticket Fly? Do you see that as something that might impact Live Nation in any way or realized they much smaller ticketing business today but do you think the combination there is interesting as it relates to the competitive set for Live Nation or maybe something that Live Nation might be able to do in that direction to enhance their business?
Greg Maffei: I think Ticket Fly is mostly directed with smaller venues, which is not where the bread and butter of Live Nation is, our success and our strength is really in large global ticketing guard global tours. And so I don’t want to be dismissing of a competitor. But they are not really front and center as much of a problem or as much they are not as tough as some out there. I think it is interesting to imagine though that events and programming are useful for promoting a service because I think it suggest there are possibilities in the portfolio we have between Live Nation and SiriusXM to work together.
Ben Swinburne: Makes sense, thank you.
Operator: Your next question comes from the line of Kannan Venkateshwar with Barclays.
Kannan Venkateshwar: Thank you. Greg, just a couple of questions from you. First is on the cable side of it, if you just look at the footprint for Charter where the initial plan was maybe two years ago versus where it is now. Is there any scope for optimization and not specifically with respect to Charter, but when you look across the ecosystem with all piece in the mix so one in terms of assets swaps and so on going forward? And the second is given the kind of pressure the media guys are seeing I mean is that an opportunity for you guys at some point to start looking at some media assets just given everything else that you own in your portfolio? Thanks.
Greg Maffei: So on the first asset swaps are really one of the most attractive ways to optimize a cable portfolio, I think as you rightly point out. One of my predecessors Leo Henry had the Summer of Love back in the middle late 90s when there was a massive series of swaps, which were hugely beneficial to the industry and obviously the transactions that we contemplate, but were unable to complete with Comcast because they were unable to complete their Time Warner purchase for a series of swaps which we thought were very optimal for both of us. All that’s probably off the table for a while, but it’s certainly not to say that it doesn’t it ultimately in some cases make sense to move towards that. And on the question of media assets we certainly notice that certain of the media companies have been seeing their valuation come down quite a bit and we are always looking that’s the nature who we are, but I don’t think we are ready to announce anything this afternoon.
Kannan Venkateshwar: Alright. Thank you.
Greg Maffei: I think is the last question operator. Thank you.
Operator: And our last question comes from the line of Matthew Harrigan with Wunderlich Securities.
Matthew Harrigan: Thank you. I was curious of Super Mobility and SCTE does really a lot more anxiety about how comparable LTE on license and WiFi or could you just provide us some thoughts on that and then thoughts on the valuation of the spectrum auction next year? I mean some of the indications in kind all over the place in terms of what some of the telecom executives are saying.
Greg Maffei: So Matt to make sure I understand your first point. So I’ll give your second point first, I certainly we watch the spectrum auctions we have some interest, even Siri we have some interest given what Charter [ph] may want to do, but we’re certainly not experts. But so I’ll pass on what’s going to happen on those spectrum auctions the speculation. Make sure I understand the first part of the question.
Matthew Harrigan: Yeah I mean there are some technology issues with LTE advanced and WiFi; I mean LTE is very grabby and unlicensed spectrum. And there are some concern that it could affect the QOS on WiFi, Verizon is going ahead pretty aggressive with some things. And it feels like overall before getting a lot of more build up on WiFi both in terms of the churn reduction and even some more direct monetization possibilities and there seems to be more and more concern about this interference between the technologies, WiFi kind of is very passive and LTE else will just kind take a slot.
Greg Maffei: Well generally guys who have licensed investments have more incentive and have been probably more aggressive it’s standard because they’ve invested more to get there. So I think that’s a natural that happens and those fights happen all the time. I’m sure they’ll all get sorted out at some point and the SEC will be likely to be arbitrators of part of it. So we’ll see.
Matthew Harrigan: Thanks, Greg.
Greg Maffei: Thank you. Thank you to all of you out there. And as I said hope to see many of you next week in New York.